Operator: Good morning. My name is Aaron, and I will be your conference operator for today. At this time, I would like to welcome everyone to the LXP Industrial Trust First Quarter 2025 Earnings Call and Webcast. All lines have been placed on mute to prevent any background noise, and after the speaker's remarks, there will be a question and answer session. [Operator Instructions]. With that, I'm pleased to turn our call over to Heather Gentry, Executive Vice President of Investor Relations. Heather, you may begin.
Heather Gentry: Thank you, operator. Welcome to LXP Industrial Trust first quarter 2025 earnings conference call and webcast. The earnings release was distributed this morning, and both the release and quarterly supplemental are available on our website in the investor section and will be furnished to the SEC on a Form 8-K. Certain statements made during this conference call regarding future events and expected results may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. LXP believes that these statements are based on reasonable assumptions. However, certain factors and risks, including those included in today's earnings press release and those described in reports that LXP files with the SEC from time to time, could cause LXP's actual results to differ materially from those expressed or implied by such statements. Except as required by law, LXP does not undertake a duty to update any forward-looking statements. In the earnings press release and quarterly supplemental disclosure package, LXP has reconciled all non-GAAP financial measures to the most directly comparable GAAP measure. Any references in these documents to adjusted company FFO refer to adjusted company funds from operations available to all equity holders on a fully diluted basis. Operating performance measures of an individual investment are not intended to be viewed as presenting a numerical measure of LXP's historical or future financial performance, financial position, or cash flows. On today's call, Will Eglin, Chairman and CEO, and Nathan Brunner, CFO, will provide a recent business update and commentary on first-quarter results. Brendan Mullinix, CIO, and James Dudley, Executive Vice President and Director of Asset Management, will be available for the Q&A portion of this call. I will now turn the call over to Will.
Will Eglin: Thanks, Heather. Good morning, everyone. Our 2025 is off to a good start as we produce solid same-store NOI growth backed by strong leasing outcomes in the first quarter. We remain focused on increasing occupancy, enhancing returns in our portfolio, and executing on our 12-market investment strategy in the Sunbelt and lower Midwest. In the first quarter, industrial fundamentals held relatively steady despite tariff uncertainty. While it is too early to know the full impact of the tariff announcements, our markets have continued to experience healthier industrial fundamentals when compared to select coastal markets, and we believe strong long-term demand trends remain in place. Overall, U.S. net absorption was 23 million square feet in the first quarter, 19 million square feet of which was in our 12 target markets. On the supply side, new starts remain low, and the construction pipeline in our 12 target markets is approximately 87 million square feet, down almost 75% from the 2022 peak of approximately 330 million square feet. In terms of product mix, new Class A facilities continue to be favored by many users, evidenced by higher net occupancy gains for new product compared to older facilities, which saw an increase in move-outs during the quarter. We believe our portfolio, which is comprised of 91% Class A industrial facilities with an average age of nine and a half years, stands to outperform in a market environment where quality matters. There has been a slower cadence in leasing transactions this year, primarily as a result of our limited 2025 lease roll, which represents less than 3.5% of our ABR, and secondarily due to longer decision-making times by many tenants. We remain cautious in the near term as the current market environment, particularly as it relates to trade policy, has created further uncertainty for tenants making space use decisions. That said, leasing outcomes have been favorable so far this year, and our current mark-to-market on leases expiring through 2030 is estimated to be approximately 18% based on brokers' estimates, which will contribute to our FFO growth. As we discussed in last quarter's call, we expect there could be lower tenant retention this year compared to 2024. In-place rents on the remaining 2025 lease expirations are approximately 30% to 35% below market. We believe any space we may get back in 2025 will be attractive to other users. With respect to other vacancy, we have activity at all three of our big box facilities. Leasing these facilities is an important component to FFO growth and continues to be our top priority. Our investment strategy is concentrated on 12 target markets situated along the Sunbelt and select lower Midwest states. These markets, where approximately 85% of our gross assets are located, have favorable demographics with employment and population growth exceeding the national average, business-friendly government policies, and logistics infrastructure. These markets are also benefiting from significant investment in the onshoring of advanced manufacturing. Some of the current projects in our target markets include Taiwan Semiconductor in Phoenix, Hyundai's Meta Plant in Savannah, Apple's Server Manufacturing Plant in Houston, Eli Lilly's investment in Indianapolis, and Andros' drone manufacturing facility in Columbus. Our focused geographic strategy provides us with both investment and operational benefits, including deeper relationships with brokers, developers, and tenants, as well as enhanced market knowledge resulting in better investment and asset management decision-making. With that in mind, year-to-date, we've opportunistically sold two industrial assets for approximately $75 million at an average cash capitalization rate of 4.1% . We were able to maximize the value of both assets. One was sold to a user buyer, and the second was sold after securing a long-term lease extension that raised the rent considerably. As a result, we have a strong cash position as we manage through an uncertain market backdrop. Going forward, and as market conditions permit, we continue to look for good uses of capital in our target markets as we selectively recycle capital from our assets in non-target markets. With that, Nathan will now discuss our financials, leasing, and balance sheet in more detail.
Nathan Brunner: Thanks, Will. We reported adjusted company FFO in the first quarter of $0.16 per diluted common share, or approximately $46 million, which was consistent with our expectations. Our same-store NOI growth was 5.2% during the quarter, with our same-store portfolio 99.2% leased at quarter-end. We are maintaining our 2025 same-store NOI growth range of 3% to 4% and maintaining our 2025 adjusted company FFO range of $0.61 to $0.65 per diluted common share. The low end of this guidance assumes we do not lease any of the big boxes in 2025, and the high end represents all three big-box leases commencing in the second half of the year. Our expectations for 2025 G&A are unchanged at $39 million to $41 million. In the quarter, we leased approximately 1.1 million square feet, which consisted of two lease extensions with an average annual escalator of 3.6%. We achieved great outcomes on both extensions. This included a five-year renewal at our 540,000-square-foot facility in Phoenix with a 59% cash rental increase over the prior rent and 3.25% annual rental bumps. We also extended our lease with Mars at our 605,000-square-foot facility in Atlanta for an additional two years to 2030, locking in two more years of 4% escalators. We previously signed a three-year extension with Mars last May at an approximately 63% increase over the prior rent, excluding TI reimbursements. We commenced the redevelopment of our 250,000-square-foot facility in Richmond during the quarter, which we expect to complete in early 2026. The facility is part of an integrated four-building campus, and the redevelopment includes repositioning the property into a standalone facility. Market rent is roughly 70% over the previous rent, and the building is the only one of its size currently available in the market. On the balance sheet front in the first quarter, we repaid the 50 million unswapped portion of the $300 million term loan. Net debt to adjusted EBITDA was 5.9 times at quarter end. We continue to focus on reducing leverage over time as we grow EBITDA through raising occupancy, marking rents to market, and increasing rents with annual escalators. We had $71 million of cash on balance sheet at quarter end, and $110 million proforma for the proceeds from the Chillicothe, Ohio property sale in April. In light of the current market uncertainty, we thought it would be helpful to highlight the quality of our tenant base. Approximately 47% of our ABR is from tenants with investment-grade rated parent companies. This high credit quality is one of the benefits of owning larger boxes and a young portfolio as the tenants are typically high quality, well-capitalized large corporations. With that, I'll turn the call back over to Will.
Will Eglin: Thanks, Nathan. In closing, we're pleased with our first quarter results. While the direction of tenant demand is uncertain in the near term, we believe our asset quality, tenant credit strength, balance sheet, and portfolio footprint that aligns with on-shoring initiatives positions us well. Our focus remains on creating value for our shareholders by increasing occupancy, marking rents to market, raising rents through annual escalators, and concentrating on our 12-market investment strategy. With that, I'll turn the call back over to the operator.
Operator: Thank you. [Operator Instructions]. We'll take our first question for today from the line of Anthony Paolone with JP Morgan. Your line is live.
Anthony Paolone: Great. Thanks. Good morning. I guess the first question is, I know you don't have a lot of expirations in 2025, but as you start to look out the next few years, that ramps. Can you identify any known move outs as we start to look out the next few years? You talked a lot about the lease up that we're all looking at on the three big boxes as being a driver to return to growth, but are there any headwinds we should start to think about that could be offsets as you look out to the heavier expirations right now?
James Dudley: God morning, Tony. It's James. Looking at '26 and '27, it's too early to tell. We like the tenant base we have there, and we think that we're going to be successful in renewing a lot of those tenants, but much of the '26 expirations are back-end weighted, so we're going to have to wait and see on that. We've touched on the 2025 expirations, that there's some uncertainty around the tenants that we have left, but we're also excited about the fact that we have high-quality property with the opportunity to market to market, so regardless of those outcomes, we feel like we're going to be able to drive rent, whether it's with a new tenancy or through renewal.
Anthony Paolone: Okay, and then with regards to the three large boxes, what do yields and rents look like there at this point? Has there been any diminution in the market, or are those held steady? It's happening.
Will Eglin: So, Tony, maybe I'll take the first part on the rent piece, and then Brendan can talk about the yields, but we haven't really seen anything come that's created a lot of movement off the market rents. Maybe there's been a little bit of a slight markdown, but for the most part, what we've seen is it's been more in the pre-rent TI, so we've seen on the big-box leasing, we've seen TI kind of tick up from mid-single digits to low-double digits in some cases, and we're back to seeing almost a month per year of free rent being offered as a concession, but not as much pressure on the face rate.
Brendan Mullinix: Yes, and then with respect to yield, we're not changing our prior guidance from the stabilization at around a six.
Anthony Paolone: Okay, and then just last one, if I can, anything else on the disposition side over the balance of the year that you're thinking about?
Will Eglin: Not at the moment, Tony. We made two really good sales, but while we're in this sort of 90-day pause around tariff policy, we've sort of gone pencils down on disposition activity. We do have a longer-term strategic objective of continuing to concentrate on the 12 markets. We made some good progress there last year. We normally would have put some of that cash, we freed up from the sales back to work, but at the moment, we like cash a lot, and we'll just wait and see how things unfold in the next 60 days or so.
Anthony Paolone: Okay, thank you.
Operator: Thanks for your questions. Our next question comes from the line of Todd Thomas with KeyBanc Capital Markets. Your line is live.
Unidentified Analyst: Hi, good morning. This is AJ on for Todd. I appreciate you guys taking my question. First, just wanted to ask about the redevelopment you announced this morning. Is this a change in the strategy, or was this always the plan and previously included in guidance?
Will Eglin: So what we had is we had a contraction option from a tenant that had a four-building campus, and the rest of the campus goes out through 2030. So it could have been that they continued in and stayed through 2030, or they had the option to contract, but the buildings that we acquired were always meant to be single if they needed to be. So it's a good opportunity for us to redevelop this property, which basically means separating it from the others and marketing it and hopefully getting a really good tick on the marked market.
Unidentified Analyst: Okay, that's helpful. So what impact does the redevelopment have on guidance? So perhaps impacts around it being taken out of the same store pool, so the same store NOI, anything regarding cap interest or anything else that will impact ASFO?
Nathan Brunner: AJ, it's Nathan here. So we had always anticipated that this property would be taken out of the same store pool, so when we put out guidance of 3% to 4% same store NOI growth for the year, we had this property excluded because we knew that this redevelopment was part of that business plan. As James described, the scale of this particular project clearly puts it into the bucket of a project that should be in the redevelopment pool. And then specifically on Q1, the inclusion or exclusion of this particular property really had no impact on same store NOI growth because this redevelopment project did not start until the end of the quarter.
Will Eglin: It's a fantastic time to have a building this size available in that market. The rent that we've had there is very inexpensive related to market, so this will be just a great outcome for us when we get the asset repositioned.
Unidentified Analyst: Okay, no, that's helpful. That kind of leads to the next question on kind of what interest that market and perhaps that building you're kind of expecting to see, and also what is the stabilized expected yield to be following the redevelopment?
Will Eglin: So I guess the good news is that it's the only building of its size in that market. Richmond's had a low vacancy rate, so we think that when we have the building ready to go, we're going to get a lot of good activity, and so I mentioned a strong mark to market.
Nathan Brunner: And then just adding on that, you sort of asked about return profile, and the way we've thought about it is the incremental rent that we may achieve on getting this property back and taking the rent up to market is something like 700 grand per annum, and the capital investment that we're expecting here and disclosed in materials today is around $5 million. If you think about the yield on capital investment there, it's something like mid-teens yield.
Unidentified Analyst: Perfect. I appreciate it. Thanks, guys.
Will Eglin: Thank you.
Operator: Thanks for your questions. [Operator Instructions]. Our next question is from the line of John Petersen with Jefferies. Your line is live.
John Petersen: Great. Thank you. Good morning, guys. Just looking at your lease expiration maybe through the end of 2026, I'm just curious if we look at the markets. Are there any of those markets where you're particularly, I guess, excited in terms of upside on leasing spreads? I think your three largest expirations next year are in Dallas, Charlotte, and Cleveland, but anything to kind of point out and call out there if we think specifically about the markets you're in?
Will Eglin: Yes. I mean, we still like the Sunbelt markets. We think that that's where our best opportunity is from market to market. We feel like we've got some really good new product that's going to have the first generation role in Phoenix where we're going to significantly mark those to market. We've got some really strong assets in Dallas as well. Sunbelt is where we're looking for the really strong market to market.
John Petersen: Okay. Are you guys seeing any? I know you mentioned this early, but with tariffs and everything going on, are you starting to see any signs of inventory building in the near term, maybe higher utilization? I think Prologis kind of alluded to some of that on their call. And then maybe any sort of demand related to supply chain reconfiguration, I guess, specifically thinking about auto manufacturing. Is there any of that to really call out?
Will Eglin: So what we've seen, I guess, related to tariffs is we've seen a couple of different avenues by tenants. We've seen some that have just kind of continued on with their business plans through the tariffs. We've seen that through consolidation in some of the markets that they had planned ahead of time. We've also seen the acceleration of demand in some circumstances around bringing in additional product and trying to find room for that. Solar panels are one of the items I would call out there. And then we've seen some kind of take a step back and pause on their plans and reevaluate what they were planning to do and trying to figure out, like I think everyone else is, what this ultimately looks like so they can plan around it from a supply chain perspective.\
John Petersen: Okay. And then last question for me. I think a couple of weeks ago, Amazon, there were headlines about them wanting to accelerate investment in warehouses in the U.S. How do you think about some of the larger e-commerce players or maybe what are you seeing in terms of demand there? And could that potentially be good news for your three million square foot recent developments you're trying to lease up?
Nathan Brunner: They're definitely still in the market. We'll see if it plays out for us in any of our big boxes. But we've seen their activity pick up. They're definitely kicking the tires. They're not the only ones. There's some major retailers that are in the market right now looking to do some of the same things.
John Petersen: Okay, great. That's helpful. Thank you.
Will Eglin: Thanks, John.
Operator: Thanks for your call. Our next question is from the line of James Kammert with Evercore. Your line is live.
James Kammert: Thank you. Good morning. I know it's a way out there and maybe you can't speak to it, but you've got the two big lease expirations potentially with Nissan in early '27 and kind of thematically with the line of questioning on the call. They've been kind of a struggling operator. Could you just talk a little bit about what sort of notice they need to provide you or are you talking about those renewals and kind of how they're doing in those facilities? Just kind of get a sense of what your expectation is for those two leases. Thank you.
Nathan Brunner: Maybe before James specifically addresses how your discussions might play out, just with regard to Nissan, you're right, we have the two facilities, at least in Nissan and Jackson and Nashville. The U.S. market is critical to Nissan. It's about 40% of their total sales. And although we've seen the global efficiency program that's been announced, all of the recent public commentary has really focused on reconfirming their commitment to the U.S. plants. And very, very recently they've come out and said that they're actually intending to max production in these U.S. plants. I might go ahead off to James just to address the specifics around the renewal.
Will Eglin: So our two big warehouses are directly tied to the manufacturing plants. The one in Nashville is tied to the plant via private road. They also invested a significant amount of capital to bring suppliers in-house so that they can get things just in time to the manufacturing plant. Similarly in Canton, which is outside of Jackson, we've been talking to them about potentially having some additional investment, probably of their own dollars, but just investment of doing something similar to what they did in Nashville. So investing millions of dollars into bringing suppliers in. They've also – both facilities have low rent. Nashville's been a really tight market. So if something were to happen, which I don't anticipate, we do have a really strong facility there in Nashville that would be functionally available to someone else, but they have preferential renewal options as well. So I think we have a really high probability of keeping them with all those different factors.
James Kammert: Very good. Definitely put incremental of their own investment inside your building as well. Obviously, I guess I just want to understand kind of these aren't just four walls in a box. They've put some monies in.
Will Eglin: They have. So what they did in Nashville is – so there's about a million square feet that is just the warehouse piece, and they co-invested with suppliers, and they put a couple of different manufacturing operations and the balance of the space so that they would have the suppliers on site and could more quickly provide those products to the manufacturing plant.
James Kammert: Got it. Okay. Thanks for the color. Appreciate it.
Will Eglin: Thanks, Jim.
Operator: [Operator Instructions]. Okay. With that, let's go ahead and end our Q&A session for today. Mr. Eglin, I'd like to turn it back over to you for any closing comments.
Will Eglin: We appreciate everyone joining our call this morning, and we look forward to updating you on our progress over the balance of the year. Thanks again for joining us today.